Operator: Greetings. Welcome to the MaxLinear Inc. Q3 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host Nick Aberle. You may begin.
Nick Aberle: Thank you operator. Good afternoon everyone and thank you for joining us on today's conference call to discuss MaxLinear's third quarter 2021 financial results. Today's call is being hosted by Dr. Kishore Seendripu CEO; and Steve Litchfield, Chief Financial Officer and Chief Corporate Strategy Officer. After our prepared remarks, we will take questions. Our comments today include forward-looking statements within the meaning of applicable securities laws including statements relating to our guidance for fourth quarter 2021 revenue, revenue growth expectations in our principal target markets, GAAP and non-GAAP gross margin, GAAP and non-GAAP operating expenses, tax expenses, effective tax rate, and interest and other expense. In addition we will make forward-looking statements relating to trends, opportunities, and uncertainties in various product and geographic markets including without limitation statements concerning opportunities arising from our wireless, infrastructure, and connectivity markets and opportunities for improved revenues across our target markets. These forward-looking statements involve substantial risks and uncertainties including risks arising from competition, supply constraints facing the semiconductor industry, global trade and export restrictions, the impact of the COVID-19 pandemic, our dependence on a limited number of our customers, average selling price trends, and risks that our target markets and growth opportunities may not develop as we currently expect and that our assumptions concerning these opportunities may prove incorrect. More information on these and other risks is outlined in the risk factors section of our recent SEC filings including our Form 10-K for the year ended December 31st, 2020 and our third quarter 2021 Form 10-Q, which we filed today. Any forward-looking statements are made as of today and MaxLinear has no obligation to update or revise any forward-looking statements. The third quarter 2021 earnings release is available in the Investor Relations section of our website at maxlinear.com. In addition we report certain historical financial metrics including net revenues, gross margins, operating expenses, income, or loss from operations, interest and other expense, income taxes, net income or loss, and net income or loss per share on both a GAAP and non-GAAP basis. We encourage investors to review the detailed reconciliation of our GAAP and non-GAAP presentations in the press release available on our website. We do not provide a reconciliation of non-GAAP guidance for future periods because of the inherent uncertainty associated with our ability to project certain future charges including stock-based compensation and its associated tax effects. Non-GAAP financial measures discussed today do not replace the presentation of MaxLinear's GAAP financial results. We are providing this information to enable investors to perform more meaningful comparisons of our operating results in a manner similar to management's analysis of our business. Lastly, this call is also being webcast and the replay will be available on our website for two weeks. And now let me turn the call over to Kishore Seendripu, CEO of MaxLinear.
Kishore Seendripu: Thank you Nick and good afternoon everyone. Our Q3 revenue was $229.8 million, up 12% sequentially. Non-GAAP gross margin was 61.3% and non-GAAP EPS was $0.75. We also generated record cash flow from operations of approximately $84 million. Q3 revenue was up 47% year-over-year with contributions from broadband access, connectivity, infrastructure, and industrial multi-market at 55%, 17%, 13%, and 16% respectively of overall sales. Despite the semiconductor industry's ongoing supply chain challenges, our financial outlook for Q4 is strong. It reflects continued improvements in our supply chain operations, strong secular growth trends across our end markets, and our company-specific growth drivers. Turning to some of the Q3 business highlights. Broadband revenue was $126 million in Q3, up 12% versus Q2 driven by new program ramps, share gains, content per platform increases, and strong end market demand. As service providers and operators ramp their capital expenses to address new bandwidth intensive consumer application services. We will benefit from this organic mix shift to more technology-intensive consumer premise equipment in the near and long term. We are also winning many platform designs across multiple geographies in new end markets, such as fiber broadband, where historically, we have had little share. These design win activities will provide a strong revenue growth over the next several years. Connectivity revenue was $38 million in Q3, strongly up sequentially at 21%. We expect Q4 to be our third straight quarter of solid double-digit sequential growth. Our comprehensive connectivity portfolio spans Wi-Fi, Ethernet and MoCA and underpins our strong long-term growth trends. We see sustained momentum for our Wi-Fi products as operators address strong consumer demand for robust broadband access and connectivity services. Over the next several quarters, we expect the launch of a multitude of next-generation Tier 1 platforms, incorporating our WAV600 and WAV600 Release to solutions, including our triband offerings. This mix shift to higher-value Wi-Fi products will drive higher blended pricing as well. Also, our silicon content will increase materially as the attach rate of our Wi-Fi solution to MaxLinear's own gateway SoCs greatly increases as operators refresh their gateway platforms in the new upgrade cycle. In total, we expect connectivity to be one of our fastest-growing end markets for the next several years. Moving to infrastructure. Q3 revenue of $29 million was essentially flat, due to supply chain constraints related to package substrates for wireless backhaul products. Having said that, we expect wireless backhaul to resume strong growth in Q4. End market demand for our wireless backhaul products remained strong, even as share gain for our microwave RF transceivers accelerates. Our microwave RF transceiver revenues outside of China will roughly double in financial year 2021. We expect to post similar growth rates in financial year 2022. Our 5G wireless access RF transceivers grew substantially off a low base in Q2 with an initial ramp in the North America end market. We'll have meaningful sequential 5G revenue growth in Q4 and also expect it to be a strong long-term growth contributor for us. In the optical high speed data center interconnect market we expect modest shipments in Q4 as we initiate shipments of our 400-gig PAM4 DSP products to our module partners. Given supply tightness across nearly all components within the optical space, we are building products to intercept anticipated early-stage ramps of 400-gig PAM4 at hyperscale data centers. We're expecting strong growth for our PAM4 products through 2022. We remain bullish on our position as a highly disruptive silicon provider. Our most recent product Keystone is industry's first 5-nanometer 800-gig PAM4 DSP product family, which has significant power and performance advantages over the competition. Based on solid customer sampling and interest, we expect a strong design win cycle for Keystone in next-generation cloud deployments. Finally, our industrial multi-market revenue grew by 14% to $37 million in Q3. End market demand continues to be strong across our product portfolio, with lean channel inventory levels. In addition, our customer design win funnel for new and existing industrial products continues to expand. As a result, long term we are confident that our industrial multi-market revenues will grow steadily, as we continue to gain market traction for new and existing products. In summary, our company's specific growth drivers are now solidly in place with emphasis on share gains, new product cycles and increasing silicon footprint with new and existing customers across all four of our end markets. With a continued focus on developing new and disruptive technologies across our high-value end markets, we expect to outperform semiconductor industry growth rates over the long term. With that, let me turn the call over to Mr. Steve Litchfield, our Chief Financial Officer and Chief Strategy Officer.
Steve Litchfield: Thanks, Kishore. I will first review our Q3 2021 results and then further discuss our outlook for Q4 2021. Total revenue for the third quarter was $229.8 million, up 12% versus Q2, and up 47% year-over-year. Broadband increased by 12% quarter-over-quarter driven by strong demand across our full portfolio of gateway solutions. Connectivity revenue increased by 21% sequentially as we saw broad-based strength across Wi-Fi, Ethernet and MoCA. Infrastructure revenue was flat compared with Q2 as supply driven softness in wireless backhaul was offset by strong growth in our 5G wireless access products. Lastly our industrial and multi-market business was up 14% sequentially as we saw strength in both high-performance analog and component demand during the quarter. GAAP and non-GAAP gross margin for the third quarter were approximately 56.5% and 61.3% of revenue. Non-GAAP gross margin was up 110 basis points versus the previous quarter driven by product mix and operational efficiency. The delta between GAAP and non-GAAP gross margins in the third quarter was primarily driven by $10.7 million of acquisition related intangible asset amortization and $0.3 million of stock-based compensation and performance-based equity. Third quarter GAAP operating expenses were $106 million, down sequentially and at the low end of our initial $106 million to $110 million guidance range. GAAP operating expenses included stock-based compensation and stock-based bonus accruals of $25.6 million combined and amortization of purchased intangible assets of $5.8 million. Non-GAAP operating expenses were $74.4 million, down $0.8 million versus Q2 and were below the low end of our initial guidance range of $75.5 million to $79.5 million. Non-GAAP operating margin for Q3 2021 of 29% was up 540 basis points sequentially as meaningful operating leverage was driven by strong revenue growth and lower expenses. GAAP and non-GAAP interest and other expense during the quarter was $2.7 million. Cash flow generated from operating activities in the third quarter of 2021 was $84.1 million. This was up substantially from Q1 levels driven by favorable trends in DSO and higher net income. We have now generated $152.2 million of operating cash flow through the first nine months of 2021. We exited Q3 of 2021 with $170.6 million in cash, cash equivalents and restricted cash. Our days sales outstanding for the third quarter was approximately 42 days, down from 60 days as we saw improvements in our shipment linearity. Our inventory turns were 3.5 times, down slightly from Q2. With that let's turn to our guidance for Q4 2021. We currently expect revenue in the fourth quarter of 2021 to be approximately $240 million to $250 million, up approximately 7% at the midpoint of the range versus the previous quarter and up approximately 26% versus the prior year. While supply chain issues continue to limit shipments, we are seeing a continuation of the supply improvements demonstrated during Q3. Our operations team remains hard at work with the underlying goal of building the right products at the right volumes to facilitate customer builds and enable them to win in the marketplace. While we don't see supply/demand equilibrium happening anytime soon, we believe that incremental improvements will be made on a quarterly basis going forward. Looking at Q4 by end market, we expect broadband revenue to be up quarter-over-quarter, driven by growth in cable and fiber applications. Connectivity is expected to be up solidly versus Q3 driven by continued strength across Wi-Fi, MoCA and Ethernet. We expect infrastructure revenue to be up sequentially in Q4 as wireless backhaul shipments improve and 5G wireless access continues to ramp. Lastly, we expect our industrial multi-market revenue to be down slightly quarter-over-quarter coming off a robust Q3 performance. We expect fourth quarter GAAP -- gross profit margin to be approximately 55.5% to 57.5% and non-GAAP gross profit margin to be between 60% to 62% of revenue. As a reminder, our gross profit margin percentage forecast can vary within a given quarter depending on the product mix and other factors. We expect Q4 2021 GAAP operating expenses to be up slightly quarter-on-quarter to a range of $105 million to $109 million. We expect Q4 2021 non-GAAP operating expenses to be up slightly from Q3 levels within a range of $73 million to $77 million. We expect our GAAP tax rate to be in the range of 15% to 20% and non-GAAP tax rate of 6%. We expect GAAP interest and other expense to be $2.7 million to $2.8 million and non-GAAP interest and other expense to be $2.6 million to $2.7 million. In closing, we continue driving towards delivering sustainable and profitable growth at a faster pace than our semiconductor peer group. We are aggressively investing in key market areas with the goal of expanding our addressable markets while increasing our silicon content and improving our market share position. At a macro level, our end markets are poised to demonstrate growth over the long-term driven by the proliferation of global networking and trend toward expanding consumer dependency on reliable and robust connectivity. In addition to solid top line growth, we remain committed to delivering significant value for our innovative and differentiated technology portfolio. While we have made meaningful progress expanding operating margins we believe there is room for continued improvement, as we look to combine a growing revenue profile with a disciplined spending methodology. With that, I'd like to open up the call for questions. Operator?
Operator: At this time we will be conducting a question-and-answer session [Operator Instructions] Our first question is from Tore Svanberg with Stifel. Please proceed with your question
Tore Svanberg: Yes. Thank you. And congratulations on the strong results and outlook. I'd like to start on the connectivity side of things. Kishore or Steve, could you just elaborate a little bit on the content increases that's happening there it sounds like you've got quite a bit more coming especially throughout 2022. So any more color you can give on content gains and connectivity would be great. 
Steve Litchfield: So Tore, maybe I'll just start off. Yes we've been talking a lot about these content gains within a gateway and a lot of that is driven by Wi-Fi. We've seen a substantial increase from Wi-Fi 5 to Wi-Fi 6. But we do see this continuing and we talked a little bit about that move from Wi-Fi 6to 6E and then even long-term move into Wi-Fi 7 as well. But we expect those content gains to continue to grow throughout that time. And so you're talking gateways historically we're running $5 to $7 and now you're talking well north of $10 of content per gateway. 
Kishore Seendripu: For Wi-Fi. 
Tore Svanberg: It's very healthy. 
Kishore Seendripu: In addition, in the past we do not have much Wi-Fi attached to our products. But Tore, even though we are the gateway SoC we didn't have much Wi-Fi prior 6 to WAV600 as we call it. And now we are replacing existing -- preexisting Wi-Fi legacy solutions with our own Wi-Fi. So you've got two things going on. One, is the content per platform is increasing, one through expanded offering in Wi-Fi; second, actually getting new Wi-Fi sockets in existing platforms that we do not have before. So you're seeing this sort of a snowball in a very good way in all our broadband business, Wi-Fi is going to drive a dramatic increase in content per box. And in some cases it's 30% to 40% increase. In some cases, depending on the box and a bigger increase in the total BOM content. 
Tore Svanberg: Very good. And some of the other IP that you got from your Intel Gateway acquisition include PON and Ethernet. I know you haven't talked a whole lot about that. I mean obviously they're smaller businesses but could you give us an update on some of the opportunities you're seeing for both PON and Ethernet especially next year? 
Kishore Seendripu: So if you really think about the worldwide market of broadband access we have to -- we all have to understand that fiber is such a much bigger opportunity than cable. And the most important thing that's happening in the fiber market is that they're all upgrading the networks to 10-gigabit PON over time. And they are symmetric in nature and therefore you get through 10-gig in both direction and the different tiers in the market. For us we have the most premier 10G XGS-PON gateway platform with the SoC processor, the highest-end Wi-Fi access point offering, the Ethernet and including integrated PON front end. So what we have is the best offering in the industry out there. So over the last two to three years the team has been engaged in getting a premier showcase telco provider as the flagship victory, which will then attract other fiber PON players in the world to copy the flagship carrier. And we are very excited, because that ramp is going to start sometime in the middle of next year by the operator, but the shipments towards that rollout has already started at MaxLinear and we are really trying to play catch up on the supply constraints we have and really ship big time. So -- and along with that flagship carrier, we are also winning other flagship carriers in Europe and smaller carriers elsewhere. So there's a huge upside. If you think of an accessible fiber market units of about 75 million boxes worldwide and you would think that the top platforms are 20% of the market and the mid-tier is about 40% of the market, we have a huge runway to grow in broadband and -- as a full category. And all of these have pretty high-end connectivities, especially in the fiber play, so you should also see connectivity grow. So, frankly, our focus right now is really expand our fiber gateway offerings and grow the revenues and all the design wins are taking shape nicely. And broadband as a category should be a huge growth driver for us and for the -- outside of all the other investments we have in very exciting markets in connectivity, infrastructure and high-performance analog.
Tore Svanberg: Great. Just one last one for Steve. Steve gross margin obviously continues to improve very nicely. With all the cost pressure out there right now, can you comment on the ability to sustain 60% to 62% for next year?
Steven Litchfield: Yes, Tore. So cost pressures are definitely very high right now and we're dealing with those, as many in the industry are. We've been doing our best. I think, we're very pleased, we came in ahead of plan getting above the 60% gross margin level last quarter and then hitting above 61% this quarter is exciting. So in the short term I think we're okay here. I think, we're very comfortably above the 60% range and we're going to continue to drive that product mix towards the higher gross margin. We've talked many times that we thought that we can get the overall business kind of up into the mid-60s, kind of, based on the mix and the products that we're selling today and we remain confident in that. That being said, the cost pressures in the short term, we’ll continue to work around those. 
Kishore Seendripu: The big key to our gross margin improvements has been all the things we just talked in the prior questions about product mix changing, higher value content and as our high-performance analog products continue to improve in gross margins and with new product additions and revenue growth, which are pretty proprietary in nature. I mean, we have seen the benefits of that. And you should also not forget that, with our infrastructure products, we also sell IP revenues that are really nicely helping gross margins right now.
Tore Svanberg: Okay. Very helpful. Thank you.
Operator: Our next question is from Quinn Bolton with Needham & Co. please proceed with your question.
Quinn Bolton: Hey, guys. I'll offer my congratulations as well. I wanted to follow-up on Tore's question. I think in the past you, guys seem to be much more optimistic about growth in the connectivity business, where broadband might be sort of kind of a lower single-digit to sort of flatter outlook. It certainly sounds like, from some of your comments around the PON and the fiber opportunity, that perhaps that growth opportunity in the core broadband business is picking up. And I'm wondering, can you level set us now on what you think the broadband segment standalone could grow? What kind of CAGR could it grow at, say, over the next two, three years?
Steven Litchfield: Yes, Quinn. So, I don't think that our -- look, we're very excited about broadband, especially, as we look out over the next couple of three years. We're seeing a significant amount of infrastructure build-out happening, upgrades happening in the network, right? And so, I think, we remain very confident in that, kind of mid-single digits is probably a very reasonable expectation on that front. The connectivity side is -- we've not wavered on that either. We're talking about our Wi-Fi specifically doubling next year. We're very confident in that. I think we're ahead of plan for 2021 and definitely expect to see significant growth in 2022 as well. And it's still pretty early days, when it comes to Wi-Fi and Ethernet.
Kishore Seendripu: Yeah. I think the key point here is that we have not dwelled as much in the fiber platform growth because that's our style. We try to -- when we are really shipping is when we tend to talk about things. And I think -- so I think Quinn, you're right about being bullish on broadband with new growth. Obviously, a whole new TAM is being added to our business which is called fiber. And it really plays in very, very nicely between the cable operators, the telco carrier providers and our infrastructure investments in both cable and telco space. I think all in all it's all coming together very nicely and it plays to our strength. So yes, I mean obviously Steve has guided to you, what he can stand by. And -- but if I sound a little bit more bullish, you're absolutely right.
Quinn Bolton: Great. No, I appreciate that color. I wanted to switch over to the infrastructure business. It sounds like you will have modest shipments to the PAM4 400-gig DSP in the December quarter with kind of higher shipments in 2022. Wondering if you could give us sort of any comments around your visibility into that business? I know it's a pretty constrained environment. So wondering, if -- as you look out into 2022, do you have orders or backlog in hand that sort of give you the confidence that that business is going to ramp to more significant levels in calendar 2022? And then I know you've been engaged with one hyperscaler for the initial 400-gig designs. It sounds like perhaps those engagements are broadening. And so wondering if there's an opportunity to ship 400-gig DSPs to a second hyperscaler in calendar 2022 at this point? Thanks.
Kishore Seendripu: Quinn, clearly, you always know more about this business than I would wager a guess. But anyway, it's interesting you brought up a second hyperscaler on the 400-gig PAM4 DSP. You're absolutely right. There's an opportunity where there may be another hyperscaler coming online with 400-gig PAM4. We're trying to expand our footprint. Having said that, I wish we were farther ahead on the optical data center than where we are today. And obviously, we are relevant. We are the disruptive technology provider. And given the changed landscape, the companies love the fact that it's an aggressive innovator who is really continuing to invest and focused on investing and our 800-gig PAM4 is proof of that. Having said that, the -- we have struggled with the lack of incumbency in the past and we are overcoming that lack of incumbency and the supply constraints clearly create gives advantage to incumbents. And so we have been slow on the uptake. However, there's no doubt that this is -- this will be a big revenue growth contributor for us in the longer term. And next year will be a good year for our growth for us. So knock on wood so to speak right? And then if you look ahead to where things are in infrastructure in generally as an overview, the market is now -- in the next generation is evolving from 400-gig PAM4 in the optical side and 50x8 -- 50-gig PAM 4x8 on the electrical side is moving for a pure one-to-one lane. What I mean is 100-gig per lane optical inside and 100-gig per lane electrical at the outside. So we are very well positioned. And that I think maybe the biggest market that span across all data center folks. And I think being consistent and also really not taking our eye off the mark despite all the tribulations we have been through so far is going to pay dividends in the long run for us. So I'm pretty confident about that.
Quinn Bolton: Great. Thank you, Kishore, thanks, Steve.
Kishore Seendripu: Thanks, Quinn.
Operator: Our next question is from Ross Seymore with Deutsche Bank. Please proceed with your question.
Ross Seymore: Hi, guys. Thanks for letting me ask the question. I'll echo the congratulations on the strong quarter and guide. I wanted to first hit on the supply side of the equation. Steve or Kishore, I know it's tight. Everybody knows is tight across the whole industry. It seems like you talked about incremental loosening, but the size of the upside you delivered in the quarter, the strong guide you gave in for the fourth quarter and the fact that your inventory went up the better part of 30% sequentially. Those all sound like we're moving in the right direction at maybe more than an incremental pace. Is there something I'm missing in there that it's still tight but not nearly as tight as it was? Any sort of kind of incremental update on that dynamic?
Kishore Seendripu: Ross, you're really zeroing on the fact specific to MaxLinear. So I would really want to give all the credit for operations and engineering team for lining up alternative suppliers across both packaging. And we're working furiously to broaden that so that we can meet the great demand growth we are seeing in our broadband and connectivity space, especially connectivity and also lining up for that optical data center that Quinn was asking about. I think supply is the key for more market share and gain and that would become an asset for us. So our engineering team and operations team are doing a fantastic job. And we've always been creative for our size and we continue to do so. I also want to touch upon the other fact. And hopefully, that has not gotten missed here. We hit $84 million in cash flow from operations and in an environment where we have also grown our inventory levels, right? So the business is really very, very well positioned to generate a lot of cash. And as our operating margin expands that should give us ability to even expand our supplier base, right? Suppliers like – these days relationship with suppliers are becoming more strategic. You have to make investments in them longer term. And we're taking all those active steps in terms of strategic investments to expand our capacity for the long term as well. So I think all those factors have contributed to what looks like loosening for us. However, you all know that everybody the suppliers have increased prices by 20% to 30% at least. So I think we are in a new world and being creative on expanding supplier base is incredibly important.
Ross Seymore: Thanks for that color. I guess, I'll sneak in two follow-ups in one question and somewhat unrelated. First, is seasonality even a concept that matters right now especially in your broadband business or is cyclicality and supply limitations the more dominant dynamic? And then the second and admittedly somewhat unrelated question, you guys have done a great job on the OpEx side of things. Is roughly the $75 million or so, is that the new base off of which we should grow, or is there some either lumpiness that we should expect going forward, or are there even more opportunities to whittle that down a little bit?
Steve Litchfield: Yes Ross. I mean look with regard to seasonality so over the last two years it's been pretty unique, right? I mean you had a pandemic and then you had supply chain shortages. So that's definitely been a bit challenging and that's been the kind of overarching factor that we've had to deal with. I mean I do think that we'll get back to seeing some seasonality in our business. I think you probably start to see that sometime next year as well where typically we would see a stronger Q2 and Q3. So I do think that we'll start to move back in that direction. With regard to OpEx, yes, I mean look I think we've done a pretty good job from time to time I mean OpEx is going to be a little bit lumpy as it comes I mean especially, where you've got larger mask and things like that. We've also stated that we would expect OpEx to grow next year at a modest pace. I mean I think we're – it's not an aggressive number but you'll see it increase. Next year, as I look in out beyond Q4, naturally in Q1, early in Q2, you've got tax implications and things like that where you would naturally see increases in the first quarter. But otherwise, nothing extraordinary from an OpEx standpoint going forward.
Ross Seymore: Great. Thanks, guys.
Steve Litchfield: Sure. Thanks, Ross.
Operator: Our next question is from Tim Savageaux with Northland Capital Markets. Please proceed with your question.
Tim Savageaux: Hi, good afternoon. You guys hear me, okay?
Kishore Seendripu: Tim, yes, it's just fine.
Tim Savageaux: All right. Great. I want to come back to the kind of broadband growth discussion. And congrats on the quarter by the way. And I think it was coming out of Q1 actually, where you guys talked about – and this has been true among your competitors as well kind of the broadband business transforming from that kind of GDP type growth profile into something more significant. And at that point I think you were targeting mid-to-high single-digits as a kind of upward revision from that lower growth rate. As I listen to your commentary on the fiber side, that sounds pretty incremental to those previous expectations. And of course you got a much larger competitor, not quite the same product profile but growing well into double-digits this year. So, once again the question becomes kind of get you to sign up for a double-digit growth rate in broadband? And I have a follow-up.
Steven Litchfield: You're very good Tim. Look, I mean, I think, we've talked about this. We typically talk about it really in the context of connectivity and broadband. And we're more than comfortable with double-digit growth. I mean we've also …
Tim Savageaux: Right.
Steven Litchfield: …I think across the company double-digit growth next year seems very reasonable. Your question about, overall long-term broadband, I mean, I just said kind of mid-single digit seems reasonable over the long-term. Look. the fiber market is a relatively new market. We are getting penetration in it. I mean Kishore spoke to it a little bit earlier. That is a much larger market. And so are there some dynamics that can change there? Absolutely, especially as we look out in this upgrade cycle. I mean you -- and I know you're particularly familiar with a lot of this build-out that's happening even governments getting involved. I mean there's a tremendous amount of dollars being deployed a lot of upgrades to DSL platforms, historically all moving towards fiber. We're seeing a lot of traction. We see some of those proposals coming out with ramps in 2023. And so, that's kind of gives us that confidence that we've talked about before about the double-digit growth out over the long-term as those new programs come in.
Tim Savageaux: Right. Got it, and you're right factoring connectivity in there does make things a little more comparable and get you well in the double-digits I suppose.
Steven Litchfield: Yeah.
Tim Savageaux: The follow-up was on infrastructure and really more short-term. You talked about some supply issues in microwave. But it sounds like, as those loosen up and you get some incremental contributions from both, 5G and data center it seems like, your messaging was you expect connectivity to be your fastest-growing segment in Q4 in terms of the guide, but it sounds like infrastructure could be pretty close. Is that a reasonable analysis there?
Steven Litchfield: Yeah. Look, I mean, I think, we feel really good about our Q4 guidance on infrastructure. I mean, it's -- I mean, I think it is -- I'm not going to give you an exact number on what it is, but it's substantial growth in Q4. I mean, I think, we've had a great year. This year growing -- the whole year is going to grow on the order of 60%. And I think we've got another super strong year coming in 2022 just as optical and 5G start to take off, so, a pretty exciting time when it comes to infrastructure.
Kishore Seendripu: Let me -- that's the other part right, is that through our strategic acquisitions we have grown the broadband revenue, the infrastructure alone. If you look over the last 12 to 24 months, I mean 12 months alone it's grown about 50%-ish and then you take the previous year. So the trend will continue in the grander larger revenue of the company, now that gets a little bit lost, but we have done very well on infrastructure as a company.
Tim Savageaux: Okay. Thanks very much.
Steven Litchfield: Yeah.
Operator: Our next question comes from Alessandra Vecchi with William Blair. Please proceed with your question.
Alessandra Vecchi: Hey guys. I echo everyone congratulations on a great quarter. I just had a follow-up on Ross' question with regards to inventory. As we sort of think about some of these longer longevity business line items with PAM4 and 5G and now even like your broadband. How should we be thinking about the ideal or the normalized inventory level in either dollars or a day basis going forward like in terms of target?
Steven Litchfield: Yeah. Hey, Aless, I think if you're referring just to the inventory build that we saw last quarter I mean it did come up quite a bit. I mean we -- I have a somewhat unique situation. So one, I mean big supply chain dynamics, right? So we're, having to bring in a lot of products. So there's, a lot of things in WIP just to account for the growth that we see in 2022 and just over the next few quarters. So we've got to work hard to make that happen. I mean we do have kits in a lot of cases where we're shipping out multiple products that are going into one application. So to the extent possible, we try to accommodate our customers so that we're not shipping onesie-twosie but we're able to ship them all of their products that enable them to satisfy their demands. 
Kishore Seendripu: So the color to that is that yes we have inventory growth. However it is not an equilibrium with respect to the other parts of the kit. So that alone doesn't tell you the answer that our supply is loosening up because we need to add the other pieces of the shortages. And then relative -- and the revenue relative to our revenue growth has not grown enough the inventory levels related to the revenue growth we expect. So we're still behind on where we need to be or where we could grow into. Our revenue expectation would have been higher had we had more supply available. 
Alessandra Vecchi: I guess it's actually what I was trying to get at. I wasn't so much worried about the $127 million as I was trying to understand given sort of the change in your business over the last year like where you actually want that to go to in a supply equilibrium if that makes sense. Meaning is the target like 120 days or 130 days, or is it..
Steve Litchfield:   Yes. Well, I mean it kind of depends on the products. But I mean I would expect that longer term, I mean I think we can keep it under 100 days. But in this environment right now where everything is quite volatile it's a little hard to say. 
Alessandra Vecchi: Okay. That helps a lot. That's what I was trying to get at. And that's it for me.
Operator: Our next question is from David Williams with Benchmark. Please proceed with your question.
David Williams: Hey good afternoon and thanks for let me ask a question and congrats on the quarter. Just want to ask maybe a little longer-term question. But just thinking about the replacement cycle and the refresh that in the CPE equipment that you're obviously doing very well in, how do those trends typically play out in terms of peak? What year do you see the peak shipments? And then how does that kind of trail off? And how do you think -- I guess if we're thinking about Wi-Fi six and then transition to 6E or that maybe elongate that cycle further out than what you would typically see?
Steve Litchfield: Maybe I'll start. I'm not sure that I'll get your question exactly. But -- so a lot of the cable cycles are quite long right? And so that's one of the things that we really like about this business. It's a pretty mature industry. They've got six to seven years of runway before you see an upgrade. And so that enables us the investment needs aren't quite as substantial. The Wi-Fi slightly different. There is a much faster cycle much bigger market. And frankly why we're investing heavily is because of the opportunity that we have there. So that's kind of where we are today. I don't know if you...
Kishore Seendripu: So if you talk about product refresh cycles on connectivity right, in the context of a broadband platform like Steve said take seven years cycles for cable data and you probably have two cycles within the seven cycle -- a 7-year cycle of Wi-Fi refresh right? So Wi-Fi goes at a faster cadence because the industry generates -- they cannot afford not to refresh the Wi-Fi. On the other hand, the access fees is typically a 7-year cycle. So I hope that answers your question on how the refresh cycle plays out.
David Williams: That was very helpful. Thank you. And then maybe just on the 5G RF transceivers the base station deployments in China have been I think a little bit slower than we had expected. Have you seen anything there in terms of a change in that dynamic? And then maybe if you can talk about your exposure to China and how you're thinking about the 5G roll out over maybe in the next 12 months?
Steve Litchfield: Okay. Look for us we have been hit very hard by the U.S. position relative to China on 5G access with a large wireless OEM, right? And that was our opportunity to be a huge player and that has really hurt us big. So, I think that simply answers your question what does China mean for us, right? So, on the other hand the rest of the rollouts have been pretty slow. And you're also seeing that the -- that they are not deploying a huge massive MIMO solutions as was originally expected. Instead of 64x64 MIMO they are talking about 16x16. So that blending has come down to as I guess reality is setting in generally over a large TAM. So right now the focus is about getting design wins outside of China with the various OEMs and the industry generally tends to be very slow and frankly conservative is a flattery for those guys. And you win platform at a time and that will end up to a systematic build-out in revenue growth and not having incumbency has been a challenge as well for us. However, we expect it to be a long-term focus and growth opportunity for MaxLinear. 
David Williams: Fantastic. And just one more quick one. Just -- are you seeing anything in terms of disruptions in China coming through? I know at the last several weeks there's been a lot of context around that. I'm just wondering if there's anything you're thinking about into the fourth quarter in terms of supply or pricing pressures specifically related to the China power shortages? 
Steve Litchfield: Yes. David I don't think there's anything different over the last week or two than we're already dealing with. I'll put it that way. There's plenty of challenges out there. I think our operations team has worked and done a great job thus far. And I think you see that in our numbers and we'll continue to do that. That creativity that Kishore mentioned earlier I think is also super important from an engineering standpoint that enables us to stay ahead of the competition here. 
David Williams: Fantastic. Appreciate your time guys.
Steve Litchfield: Thanks,
Operator: Our next question is from Suji Desilva with ROTH Capital. Please proceed with your question. 
Suji Desilva: Hi, Kishore. Hi, Steve. Congrats on the strong results here. On fiber-to-the-home Wi-Fi attach versus cable. First of all, what's the mix of your Wi-Fi you would say is more fiber versus traditional cable? And do you have a higher share in fiber? And if so why? 
Kishore Seendripu: So I cannot speculate how the share will develop in fiber in the future right? But right now we're all excited about three years of hard work. We got the world's premier carrier going to be rolling out with our product and it's a full platform of MaxLinear, right? So and in general in fiber our products will be both Wi-Fi and the access piece combined. We will not have -- we'll have little or no platforms where there is no Wi-Fi from MaxLinear. The cable world is a bit different, right? That was a world we have been in for a long time. And we have had 50 plus or minus percent market share for years now. Therein is where we are replacing existing Wi-Fi solutions on our platforms with our own Wi-Fi solution. So that's where that story builds out. So it's very different story and the cable world is also pretty bifurcated right? There are people who buy pure voice and data modems and there are ones who buy gateways where Wi-Fi is part of the full box right? So it's too much detail to get into but the way to think about it is that in cable we have an opportunity to take our share position and add more content with Wi-Fi. In fiber, we are going to gain market share. And in every case we'll have our fiber gateway processor with Wi-Fi and Ethernet combined. And in some cases MoCA also is a part of it. 
Suji Desilva: Okay. Thanks, Kishore. That's very helpful. And then just a follow-up on that one. In your press release you talked about growth from content and share gains. I was curious if those comments were really more specific to Wi-Fi or whether there were -- two or three other areas you'd highlight as content or share gain opportunities near term to help the growth? 
Kishore Seendripu: Suji, I think, I hate to use dramatic statements like across the board, but there are multiple opportunities right of a replacement. For example, we are the only one with a premier 2.5 -- dedicated 2.5 gigabit Ethernet five product, right? And we are the only ones with the quad 2.5-gigabit Ethernet five product right? And so that is now being deployed into the marketplace. We're going to get content increase there. And then on the Wi-Fi side obviously we talked a lot about it right? And so I think there are many such opportunities and there's power management. And we're doing some great work in power and it always gets lost because we don't know how to cover it properly in these forums. We want to stick to the large team, but we are surrounding our SoC platforms with our power solutions. So -- and that should add BOM. For example to give you an idea we ship around anyway let's say around 20 million units of cable boxes give or take. And then if you add even a couple of dollars or three of power management content from MaxLinear's own solutions when the gateways refresh you can easily see us picking up anywhere between $40 million to $60 million of revenue on power alone. So this idea of content increase is pervasive in our thought process inside the company because they're one of the few companies that don't know just do mixed-signal digital we also can do pure analog products, which is a very uniquely differentiating feature about MaxLinear. 
Suji Desilva: Okay, great. Thanks for that color Kishore. Thanks guys.
Kishore Seendripu: Yeah. Thanks Suji.
Operator: Our next question is from Ananda Baruah with Loop Capital. Please proceed with your question.
Ananda Baruah: Hey, good afternoon guys. Thanks for taking the question, yeah, and congrats on the great results. A few if I could, but I'll be quick about it. Just with the strength in the revenue September quarter and then in the guide being so much stronger in a constrained environment than what you guys were thinking, are you -- do you think that -- well I'd love to hear the context around what you think is occurring to have a piece so strong. But do you think it's also a situation now where maybe just the growth profile is going to be stronger for awhile than you had originally anticipated, or should we think of the same time of growth profile off of a leveled up revenue base? And I just have two quick follow-ups after that.
Steve Litchfield: Ananda it's hard to -- I'm not sure where exactly you're going. So look I mean our growth profile I think has improved dramatically, call it over the last 18 months right with the newer products whether it be some of the Wi-Fi products, the broadband products and as well as our optical and 5G products. So I think we're very confident in that growth profile. Clearly we've been limited with supply. We're getting that addressed. I don't think we find any of this surprising. I mean we've had this -- the bookings, the backlog, the visibility but in a lot of cases we've not been able to hit the supply. And so that's improving. And I think we're getting better visibility. I think we're -- again I'll mention some of the things that we've done creatively to change and to get more supply I think has been important. And I think it's enabled us to up these numbers in Q3 and Q4. And frankly some of those actions will enable us to take more share in 2022 as well.
Ananda Baruah: Yeah. I guess what I'm asking about Steve is in a constrained environment, I believe the vast majority of the revenue was organic. So correct me if that's wrong, but so you just put up like a 25% in growth rate.
Steve Litchfield: No, no that's true.
Ananda Baruah: Yeah. So I mean here's what I'm looking at. So I'm sure I'm not the only one doing this. You've been talking about double-digit growth just put up 25% in a constrained environment or you're guiding to 25% organic in the constrained environment and presumably you'll get less constrained. So it just seems like you're a little bit ahead at least or maybe you're just sort of doing better than you thought you would originally. And I guess really maybe the question is you say double digits should we be thinking 20% normalized growth in a non-constrained environment?
Steve Litchfield: Look we're not going to guide beyond the current quarter we're in. But do we have substantial upside in markets that we haven't participated in? Are there significant market share gains that we have achieved and will continue to achieve, I mean some of the things that Kishore spoke to a little earlier on the fiber side of the market. I mean, there's very large opportunities that we're seeing early traction on right now and we're always looking to expand the overall TAM and ultimately grow the top line faster. I mean, we reiterated that several times in the prepared remarks just talking about outpacing the semiconductor market and we're very confident that we'll continue to do that.
Kishore Seendripu: As we continue to be more strategic to our operators and service partners they are jointly investing in development activities for MaxLinear. So our future road maps have skin in the game for these people and they're -- so we are also benefiting from their strategic investment in our development both in terms of revenue forecast in the future and current versus also the technology we are developing for them being endorsed by them, right? And whether it's financial or through revenue purchases. So -- and we have not even talked about all the other great things that are happening in the infrastructure because of now an enhanced scale -- and we've always backed a lot of technology as a company, right? So that's been very critical. The other thing I really want to dispel maybe this is familiar to all of you who have been following MaxLinear for a long time. We have had substantial organic growth over the last 24 months. And the re-characterization of these revenues that organic -- ability to grow organically should not be forgotten. I know there have been some spurious reports out there, but our organic growth has been very, very strong as well. So I just want to reiterate that fact.
Ananda Baruah: Thanks for that context. And just the follow-up is as the gross margins expand, should we also expect the operating margins to continue to expand, or there might there be some investments you might do with the extra gross profit dollars? Thanks.
Steve Litchfield: So I think Ananda, yes, we saw a substantial increase 540 basis points in operating margin improvement last quarter. I think you'll see in our guidance that that goes up again. When we -- even I'd say a year, 1.5 years ago we kind of talked about that ability to get north of 30%. We are executing on that and very excited about kind of what the future holds there.
Kishore Seendripu: And I think Steve in your prepared remarks you did sort of allude to the fact that we should see, we'll be spending lesser than the rate at which revenue is growing and that the operating margin has opportunity to expand further. Thanks, Ananda.
Ananda Baruah: Thank you, guys.
Operator: Our next question is from Sam Peterman with Craig-Hallum Capital Group. Please proceed with your question.
Sam Peterman: Hi, guys. Sam on for Richard here. Two quick ones for me. The first one on connectivity -- it sounds like you guys are pretty confident in Wi-Fi doubling next year. Again, you've got some good visibility there. I'm curious how MoCA and G.hn are trending within connectivity as well? And any kind of visibility you have into the outlook for 2022 that would be great too?
Steve Litchfield: Yeah. Yeah. No problem, Sam. Yeah. I mean MoCA and G.hn continue to perform extremely well. We spoke about it a little bit earlier. Very strong in Q4 actually coming up here. So those areas have been constrained as well as far as getting product, but really good traction with our MoCA product, G.hn seeing more and more applications with that as well.
Kishore Seendripu: So a little bit of a difference between G.hn and MoCA right now most of revenues at G.hn are more retail oriented and some industrial markets -- industrial IoT markets and whereas MoCA tends to be much more very, very high quality of service reliable backbone for connectivity services -- connectivity solutions inside operator deployments in the home.
Sam Peterman: Okay. That's great. Thanks. And then quick -- just looking at your 10-Q real quick, I mean it looks like your Customer B that I think you guys have picked up from Intel wasn't a 10% customer in the quarter. I'm curious if you think they will be for the year, if you can just give some color around whether that was customer specific or just other lines of business growing faster? Just what's going on there?
Steve Litchfield: Yeah. Sam, I mean with regard to the top customers, I think we supply to all of them, they all would like to have more product. So somewhat similar to our end markets these things are a little difficult to call from quarter-to-quarter. But I would say we're growing significantly with all of our top customers and we're excited about that. We also want to continue to execute and get them more products going forward.
Sam Peterman: Okay. Thanks, guys.
Kishore Seendripu: Thank you.
Operator: Our next question is from Christopher Rolland with Susquehanna. Please proceed with your question.
Steve Litchfield: Hey, Chris are you there? Operator, we might go to the next caller maybe come back to Chris.
Operator: Okay. No problem. We have reached the end of the question-and-answer session and I will now turn the call over to management for closing remarks.
Kishore Seendripu: Thank you, operator. I just want to let everyone know that we'll be participating in the upcoming conferences in Q4, maybe Stifel 2021 Virtual Midwest Growth Conference on November 11; the Benchmark Company 2021 Technology Conference November 17; ROTH Capital Partners 10th Annual Technology Event on November 18; and Credit Suisse 25th Annual Technology Conference on November 30; Wells Fargo 5th Annual TMT Summit on December 1; Barclays Global TMT Conference on December 7; Oppenheimer 5G Summit on December 14; and the Needham 24th Annual Growth Conference on January 12. You should be able to see this list also on our website. So with that, I want to say that thank you all for joining us today and we look forward to reporting on our progress to you next quarter. Thank you very much.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.